Operator: Thank you for standing-by ladies and gentlemen and welcome to the Tsakos Energy Navigation Conference Call on the Second Quarter 2015 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advice you that this conference is being recorded today. And now I will pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relations Advisor of Tsakos Energy Navigation. Please go ahead sir.
Nicolas Bornozis : Thank you very much and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. The company released its financial results for the second quarter of 2015 this morning. The press release has been distributed publicly. In case you do not have a copy of it, please call us at 212-661-7566 or e-mail us at ten@capitallink.com and we will e-mail a copy to you right away. Please note, that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please we urge you to access the presentation and the webcast on the website. Please note that the slides of the webcast will be available as an archive on the company's website after the conference call. Also please note that the slides of the webcast presentation are user controlled and that means that by clicking on the proper button you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements, involve risks and uncertainties, which may affect TEN's business prospects and results of operations. Such risks are more fully disclosed in TEN's filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point I would like to turn the call over to Mr. Takis Arapoglou, the Chairman of the Board of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead sir.
Takis Arapoglou: Thank you, Nicolas. Good morning, everyone. A record financial result consistently beating expectations it don’t just happen because of slow market. They happen because management delivers in their commitments towards the whole range of operation and strategic targets. TEN's management needs to be once more congratulated, as an addition to demonstrating superior operational excellence. It has managed to continue renewing and upgrading the fleet, optimizing its product offerings, reducing further it’s financing cost and ensuring that its sizeable newbuilding program is fully financed. It is a high quality performance indeed and the board of TEN is very pleased that the market, newly investors are beginning to fully appreciate it. Congratulations once again to the team and that’s it from for now. Thank you. Over to you, Nikol.
Nikolas Tsakos: Chairman, thank you very much and thank you for good words. And I think we will accept the congratulations when our share price doubles and this is I think – and I am not saying this - first of all good morning to everybody and good afternoon, I am not saying this – that as a matter of saying, but looking back I think we are today where we were 10 years ago. So I have to say today’s results make us to feel very much younger, 10 years younger. If you look we're sitting with Paul Durham, our CFO going back in history because his story - this is a relative things and we were looking back and the last time we had similar results, it was back in 2005 and that was 10 years, then we were all 10 years younger. We had a net income for the whole year of about $160 million. Our 6 months net income is close to $80 million. So I think we are on the way of a very similar performance. What is very different, however, as we have that complete results with 26 vessels, in half - exactly half of the size of the fleet that we have today. So I think this something to note. And what is again very benefiting to see that our share price was doubled from where it is today. So I always, I am an optimist by nature, so I look those very optimistic. I think 2005 was the first year similar to now that we felt that the market was stabilizing and we were in for a significant medium term strong cycle which was only I would say [abrupted] [ph] by the Lehman situation in late 2008. So if we could look in a glass bowl and see if we are where we were in 10 years ago, it means that we are in the beginnings of a medium term cycle. You have never heard large optimistic so far, we were always going to wait and see situation. But I think what is happening around us the continuous reduction in the price of the product that we carry, which is oil, it makes this product more and more attractive and more demand like George will get into the details about the situation in this. We still have a balance – balanced the supply situation. Demand seems to regardless of the problems, one of the largest consumers of our product which is China, its facing – demand is going from strength to strength. So I think we should – this gives us the right to feel that we are on the right track and we have build the company and thank you Takis for earning result. With this in mind, next year we have a significant newbuilding group program of state-of-the art vessels. This year we showed significant amount of friction, I think we made some sales and that will put tonnage in the water very quickly for us to take advantage. And with that, I would like George to go into the integrity. I will take this again opportunity to thank of all of you for the support for the company and mainly to the people who are in broader ships and our offices for helping us around the tight ship because from what you will see from George's presentation and Paul's, we are always able to keep the operating expenses also inline, regardless of the market situations. So George, thank you very much. Please, that’s from me for now.
George Saroglou: Thank you, Nick. It is my pleasure to speak with all of you today and provide you with the details of the operations for both the second quarter and first half of 2015. It was indeed a very busy quarter as we concluded a series of chartering and S&P transactions that we announced today in the press release. It was also a very rewarding profitable quarter and in fact the best quarter we had in TEN in 7 years. For those of you who are connected to the Internet and our website, there is an online slide presentation which format we will follow during the call. Let's turn to Slide number 3; we announced today the acquisition of two resale newbuilding VLCCs, plus three more in Suezmaxes and the sale of one Suezmaxes and one [un-decide] [ph] tanker. As a result of this transaction, TEN has a pro forma fleet of 65 vessels, excluding the option for a fourth subtle tanker. The operating fleet consists of 50 vessels and this figure will grow the Suezmaxes that will incorporate I think to the fleet at the end of the third quarter and beginning of fourth quarter of 2015. We have a very balanced time charter philosophy and strategy and we continue to operate the fleet at a very high utilization rate, 98.5% for the first half of the year. For the quarter, we should highlight that we have 35 vessels that take full advantage of a strong spot market, which continued from the first quarter of 2015 into the second quarter. We have 3 vessels which charter expire during the balance of the year, 1 VLCC and 2 Suezmaxes tankers and the sport market for both the VLCC and Suezmaxes has been a very strong so far and is expected to remain strong, especially lead during the typical and seasonally stronger fourth quarter. We announced today charters for 5 vessels with minimum revenues of $71 million that could reach $95 million if charter has exercised that extension options on 4 vessels. Total minimum feet – total minimum fleet contacted revenue stands today at $1.4 billion and so this gives 2.6 years on average for the operating fleet. So we have 2.6 years of forward coverage for the fleet going forward. The collapse in the price of oil which accelerated from the start of the fourth quarter of 2014 and reached 6 year lows in mid January 2015 continues to impact the crude sector and stand in a very positive way. World oil demand growth continues to be strong beating the forecast, thanks to rebound in European product demand, increased demand coming out of India, steady demand coming out of China and higher demand for transfer of fuels in the United States of America. Naturally lower oil prices change consumer buying patterns and contribute to increasing oil demand. In the second quarter of 2015 global oil demand was approximately 1.4 million barrels per day, higher than the same period in second quarter of 2014. On the supply side, OPEC production growth continues. The average production for the quarter was $31.5 million barrels per day, the highest quarterly average in three years. To compare with last year, OPEC produced 1.6 million barrels per day more in the second quarter of 2015 than the second quarter of last year. As a result, tanker rates remained unseasonably strong with VLCCs averaging over $50 a day, slightly higher than the first quarter 2015 average and Suezmaxes and Aframax tankers consistently trading accelerated rate between – at over $40,000. Fleet growth is fairly limited for the balance of the year and the order book remains reasonable through 2017. The market especially for the crude tankers is fairly balanced and as long as the oil keeps flowing, the freight market should stay balanced and strong. For product tankers the quarter has been also very good, thanks to the ramp up of production in new refineries in the Middle East and India, high global refinery utilization from refinery margins, as a result of lower crude prices and strong US refined product exports. The next slide is a main financial highlight of the press release; strong profitability, the best quarter in first half results in 7 years setting the tone for the year. We have $41.3 million of net income for the second quarter of the year versus a profit of $200,000 in 2014, operating income of $49.2 million versus $8.5 million in the second quarter of '14. Very strong cash reserves of approximately $290 million, 75 vessels benefiting from very strong spot tanker rate and the crude price dropped and dollar strength continued to provide material benefits in TEN's bottom line. The next slide is a snapshot of the sectors in which the company operates, in crude, in products, in DP2 and in LNG. The fleet is very sophisticated, therefore is built to fit the transportation requirements of the company's clients. The next slide, slide number 6 has a pro forma fleet – is a pro forma fleet of 65 vessels which includes the vessel that we currently have in operations and all the vessels under constructions. 2 VLCCs for delivery in 2016, 9 Aframax crude carriers for delivery in 2016 and 2017; 2 LR1 Panamax tankers for delivery in 2016; 1 Suezmax DP2 Shuttle tanker for delivery in the third quarter of 2017; plus one option and we have also 1 dry fuel LNG vessel for delivery in the first quarter 2016. 73% of the 2015 ship available days are – from this date are related spot or spot related contracts. The fleet is very modern with the average rate of the operating fleet today at approximately 8.2 years versus 9.6 years for the world tanker fleet. The average is going to come even lower as we get more of the newbuilding vessels in the years to come. The next slide shows the clients that we have in TEN, all blue chips names with whom the company is doing repeat business over the year, thanks to the quality of service, fleet modality, and the safety record of the enterprise fleet. The 10 clients' names that you see in the list continued to account for over 75% of the 2015 revenue. The next slide shows the low cost base of TEN and the fleet that we have built in the years mainly before the rise of newbuilding prices. With the tanker markets expected to remain strong in the second of 2015 and projects for the full year bearing of course any unforeseen circumstances that point to a much better year than the year that we had in 2014. We are very confident that – and this year is going to be the beginning of another strong cycle for TEN. In fact, the performance of this year looks as if we are back in 2005 as Mr. Takis said, with the half of the fleet that we have today we produced a net income of $160 billion. In the first half of 2015 we've reduced net income of approximately $79 million, which is exactly half of the full year 2005 results. So its one access as where we see we are today in the cycle, we feel that we are in 2005 looking forward to another two, three or even four strong years ahead of us. The next slide is the employment slide. We continue to balance strategy of the corporate fleet with a mix of four charters CoAs, pooling arrangements, period charters with fixed rates and minimum rates with profit sharing arrangements. We have 15 vessels in the fleet on time charter with fix employment, 11 vessels in time charter with profit sharing. Overall 35 vessels trade in a combination of spot, CoAs and pools taking the advantage of the strong freight market that we experienced in 2015. Another way of reading the employment details of the fleet is that 28 vessel of secured employment from less than a year to 13 years and as we said 35 years have the earning side in full or up to 50% over a minimum base rate with spot market that is at levels we have not seen – we have experienced back 7 years ago.. Slide 10 and 11 give us what we see in the market with oil demand continuing to grow at about 1.6% per year. We have seen forecast being revised to higher as we continue into 2015 and the global economy despite headwinds in certain regions continues to expand, which is very good for the growth in the global oil demand. The supply driven drop in the oil prices benefit the tanker market and we have rising volumes, longer distances, very modest fleet growth, for crude tankers which are all variables that I’d expected to continue supporting the market solid growth. Slide no 12. If we put a dollar value on the above as of today, we have fixed 50%, of the available 2015 operating days and 40% of the 2016 fleet operating days and if we assume only the minimum rates, TEN has secured 809 months of forward employment or 2.6 years per vessel and 750 million in minimum gross revenue. By choice the company has currently – the highest spot market exposure in order to take advantage of the strong spot trade market environment. The next slide is the S&P update the company sold for profit and felt the trading two of it’s older vessels one Suezmaxe and one Handysize vessel and acquired two resale new building VLCCs and two more than Suezmaxes. The VLCCs are expected to join the fleet in 2016, while the two Suezmaxes are expected to join the fleet at the end of the third quarter and beginning of fourth quarter 2015 and we hope and expect that they will take full advantage of a strong spot market in the fourth quarter. We also continue to have interest to sell some more of the first generation vessels we have in the fleet vessels that were build until 2005. And we hope to be able to report that more transactions going forward. The next slide is the dividend, the history of our cash dividend distribution, we will pay the next dividend of $0.06 on September 10, 2015 we have also announced today another $0.06 dividend for the common shares to be paid on December 15. In total, since 2002, we have paid $10.12 in cash dividends or approximately or a little over $415 million and this compares with a listing price in our IPO of $7.50. Every October during our strategy meeting we typically report to Directors typically review the dividend strategy and the dividend payments for the next year and this is expected to happen again this year with the market remaining strong we hope and expect that to see the dividend reflect the strong market going forward. Slide 15 is the briefs and the most recent NAV calculation and the analysts expectations for the analyst to have the expectation covering TEN. The management vision is to continue growing the company responsibly and at the same time have this reality being reflected in the company's share price. Basically as we said based on the historical result of which we all frame these slides we feel that we’re back in 2005 we have stronger bigger fleet better quality and we’re ready to capture and harvest or continue to harvest the strong market environment and we hope that this will also be translated in the surprise, because a difference of what we see today and with what we have seen back in 2005, 2007 period. These that our surprise is half of where it was back in these years. Before I hand over to Paul let me take this opportunity to thank the seafarers and TCF, our technical managers for their operating performance 24/7 without which we wouldn't be a reputable solid and reliable service provider for so many of our clients our bankers for their support in good and bad times, and finally, the analysts and investor community to continue to interact us with their time and money. That concludes the operational part of our presentation. Paul will walk you through the financial highlights.
Paul Durham: Thank you, George. Well it is nice to be back into what may well be a regular position of reporting strong quarter results. And hopefully given our fleet growth over 10 years has make us to sit we’ll also see the share price jump back up to the bin levels. So TEN six month net income was near $79 million and quarter two net income was $41.3 million compared to a humble $200,000 in the prior second quarter. Earnings per share was $0.45 after taking account of forfeited stock dividend of 3.4 million. Quarter net revenues were up 61% with essentially all vessels fully employed and 40% fold in fuel prices clearly contributed having 40% of our fleet on spot. With the total of all other expenses being relatively stable. The dynamic crude tanker market seen in quarter one much due to lower oil prices and limited capacity growth continued through quarter two at similar price levels and indeed continues into the third quarter. In addition profit share arrangement on certain time charges contributed $8.2 million in quarter two and $13.7 million for the six months. The two Suezmaxe tankers acquired in mid-2014 reinforced our ability to take advantage of the market. Product carriers operating in the spot also contributed to our bottom line. Average daily TCE rate was over $26,700 a 56% improvement and for the six month nearly 26,200. Of course the two daily average OpEx per vessel crest up 2% due to the impact of the new Suezmaxes and dry docking largely offset by a stronger dollar against the euro. For the half year this was $8,080 2% down from 2014. finance cost quarter two was $7.9 million against $8.6 million previously the decrease due to reduced margin. The six months had a similar fall due to reduced margin and the expiry last year on the interest rates of that. EBITDA moving double to $76.4 million in quarter two, while six month EBITDA was $148 million. Old vessels generated positive EBITDA in quarter that from two vessels in dry dock. Net revenue in the six months covered all the periods operational expenses, debt service, our capital expenditure and net of pre-delivery financing and our payment of two dividends for both common and preferred stock. Our cash at June 30, remained at almost $290 million nearly all held in bank that can safely service our commitments to international suppliers, lenders, ship yards and shareholders. We have enough cash and cash generating ability to cover the equity portion of the remainder of the existing new building program and the acquisitions George mentioned. This cash is supplemented by the sale of aging vessels such as recent disposal of Delphi and [Artemis] [ph] on which we paid down debt of $23 million and released $21 million cash adding a modest gain for quarter three. Despite $50 million pre-delivery debt received January 1, outstanding debt after repayment remained at $1.4 billion. Net debt to capital however, feel to under 46% by June 30 and average cost of debt as 2.2% in the six months. We have also repaid at a discount a $50 million loan, which had 3 years to mature generating an additional gain for quarter three. We immediately refinanced the related vessel with a new $6 billion at competitive turn. I’ll now return the call to Nikol.
Nikolas Tsakos : Thank you Paul and thank you for the good news and please keep on reporting. Well I think that’s from my brother sisters speakers I think we understand that we are looking as 2015 as a spring board of a better market that might last for quite a while. We are see still controllable interest for building ships, which I think is very important and mainly bigger for tankers we’re seeing geopolitical event, but are increasing the supply of oil and I think we have Iran and the relationship will be embargo normalizing after many, many years. We also are seeing the efforts from the US Summit about being lifting the export ban of U.S. crude which I think that will also very positive for our market. Further weakening in the price of oil mix, even more attractive commodity as we speak. And small anomalies like what is happening in Nigeria today where we have the embark of - in excess of 100 vessels for one reason or the other creates a short of reallocation of assets which is always good with delays in the spot market. We are right now in what would be, be a holiday I would say, we are in the middle of the long period where we would be weakest period over the year for all demand but when we still see that VLCC rates are not far from $100,000 Suezmaxes in the 40,000 Aframaxes, well above 30, LR tools the products well above 50, the Panamax also is the fourth reason there is more ships in the vessel. So I think these are eight we would love them to stay with us for a long period of time. In this environment Ten is always taking very careful steps. From all the vessels maintaining the Ten vessel with 10 years or older are candidates for sales and this is something we discuss have been doing. We have already exceeded 100 transactions, we have average in the last 12 years, $25 million in profits from other sales and purchase, a significant part of our bottom line. We are really happy with the new acquisitions, we are not adding this is what I am - we have not adding additional newbuilding orders we are buying resales from other parties if we are going to be will build than we are happy with buying good quality vessels built in Hyundai, in Korea. We are buying existing ships in the water, the Suezmaxes replacing existing sales of Suezmaxes from Samho in Korea. So we are maintaining high quality profile by only having first class yards building over vessel. And I think this has rewarded from our clients and that's why we are still more and more getting offers like the recent charter for three years or one of our Suezmaxes to a major U.S. company with an average of 33,000 a day, which I think this is very positive and a lot of other business is coming forward but we can talk at some other stage. With this in mind, I would like to hope that very soon we will see our sale price also reflects the market environment and the company performance as our Chairman said. And we expect that as soon as we break the 1 billion bracket we will be able to see a significant increase as a company last time we were way above the 1 billion market comp. With that in mind, I would like anyone who are ready to ask us any questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Donald Bogden from Wells Fargo. Please ask your question.
Donald Bogden: Good morning, gentlemen. Congrats on the good quarter and good to hear you all feeling 10 years younger. So during your last call you made it clear that you priority with growth, looking at your current cash position and recent S&P activity can you comment on how much of that cash will be year marked for delivery in your newbuild program. And then thinking about optionality moving forward how you view further growth or deleveraging or maybe a shift in dividend policy?
Nikolas Tsakos: Thank you. I would say that, all our newbuilding program has been fully financed so the debt capital is financed. Paul what is the remaining equity?
Paul Durham: Remaining equity amount at the moment excluding the new acquisition is about 90 million. If we add the new acquisitions, we’re looking at another 50 or so million. So, 150 all together.
Nikolas Tsakos: So it's about 50% of our existing tax is going to be spent in the next 18 months.
Donald Bogden: And then shifting to the back part of the question for dividend policy. Looking at the dividend policy across the peer group, there seems to be a focus at least in this cycle on floating dividend policy. Can you comment on your preference to a fix rate versus these policies and how you potentially see that moving forward?
Nikolas Tsakos: I do not want to pre-influence our Board of Directors here, but we like stability I know that shareholders also like stability. Perhaps we have been the only Company, at least that we never stopped paying a dividend even in the worst financial crisis. So, we want to shareholders to know that there is - on a quarterly basis there is always going to be a dividend. So I think stability is important. Perhaps when we get together in October, we might maintain a stable dividend and have a special dividend at the end of the year or we might decide to maintain a balanced dividend but I think stability is always important, we do not want to come every quarter and change the level of dividend.
Donald Bogden: Got you. And then just one last question on our time shorter policy. We have seen a pretty strong run up in time charter rates and liquidity since our last call. Should we expect continued focus on profit sharing agreements by stockers or do you see current fixed rate is becoming more and more attractive lock-in a longer term cash flow.
Nikolas Tsakos: We look at the sales as a partner to our clients, the major oil companies. So profit sharing as long as we can cover, order obligations make a profit and then leave the market to determine the upside is something that we always have a preference. So whenever we can get a profit share that makes sense and it's fair you will be seeing a profit share.
Donald Bogden: Thanks for the color guys. Have a good summer.
Nikolas Tsakos: Same to you. Thank you.
Operator: Your next question comes from the line of Spiro Dounis from UBS. Please ask your question.
Spiro Dounis: Good morning gentlemen and congrats again on the results. Just wanted to touch briefly on the VLCC purchases, maybe I might missed the component on the math, but if I look at the consideration paid in a shares based on yesterday close, I think I get to about 25 million or so plus 14 million in cash gets you about 39 million paid up. And I think that amounts to about 20% of the total purchase price. I believe the remainder can be done in bank is that right, it's going to be 80% leveraged.
Paul Durham: The other is - the average - around the average of 30 days. So it's just sigh of I think 9.8 or something the price - but there is going to be pretty delivery finance. So at this stage until delivery you are correct, there will not be any more equity paid. When we are there to – to take delivery of the ships depending on the chartering profile that we have with ships, right now there is a big appetite for those vessels for up to 15 years employment with major oil company and profit share. We never go to 80%, as you know right now our debt is 46%. So it allows us on a project-to-project basis to get to 80% if we wish, but I think we are more conservative. But it's going to be between 70% and 80%.
Spiro Dounis: Got it. That’s very helpful. And you mentioned chartering I guess it would be your expectation that both these VLCCs are probably going to end up on longer term time charters?
George Saroglou: Again we have - as I said we are a conservative company, we would do profit sharing arrangement with a major oil company and depended on the vessel coming and depending how the conditions are later next year, we will look for the second vessel perhaps take advantage of the spot and then charter it out.
Spiro Dounis: Got it. And then Nikolas you mentioned in your prepared remarks just about the Nigerian vessel ban, just given your position into tanker, you are in a unique position I guess, give some color there, any best guess is to what’s behind that ban, when it could be lifted and any early indications, what are you seeing in the spot market, is it doing anything to rate yet?
Nikolas Tsakos: Well, I think it has in a sense confused positively the Suezmax market and I mean you have seen some sort of confusion side moving of the market by the time a lot of tonnage that was – suppose to, low the Nigerian, West Africa had to be relocated across the Atlantic of course all this takes tonnage miles, increase this tonnage miles and take some capacity out of the market so it will end up in September to be a positive move but when the ship are will finally be where they have be. On the other hand I think this is a – I think it is more for internal consumption as I say, political internal consumption other than make sense. I mean we as a intertanko are staying behind most of the, is not all but most of the tanker owners are our members and we are there to protect them and allow free trade to happen we are a free trade organization and we cannot accept this type of bans.
Spiro Dounis: Got it. Yeah, I appreciate the color guys. Thank s again.
Nikolas Tsakos: Thank you.
Operator: Your next question comes from the line of Ben Nolan from Stifel. Please ask your question.
Ben Nolan: Yeah, thanks. Well I have a few questions but first may be Paul, I know you talked about the total equity requirement being about a $150 million and cumulatively to fund the rest of the new builds, how do you think about your ability to or your liquidity to buy additional vessels over and above what you already committed to, how much more fire power do you think that you have in the balance sheet?
Paul Durham: Well, I would say we got nearly $300 million and we’ve counted $450 million obviously we need to hold this given amount of cash.
Nikolas Tsakos: We’re are building a lot -
A – Paul Durham: But we’re selling the ships, we are generating cash through our current revenues, I think our ability over the next year or two years, three years is as long as this boom continues we will be quite considerably number two in terms of as much as ending next year for instance if market stays as it is ending the year with the potential $400 million. So I think we are in a very good state to kind of consider any opportunities that come our way be then second hand or resale of contracts.
Ben Nolan: Okay. Along those lines I don’t know probably last six quarters you guys have talked about potentially buying VLCCs in this quarter you finally have, how do you think about the scale within that business, obviously you have quite a number of other assets within the various tranches and this would make just three, is that an area that you would like to focus on in terms of incremental growth?
Nikolas Tsakos: Yes thanks well as I said that we are not focusing, we are a mix bunch of client driven which is a diversified place, so we have anything from LNGs done to chemical carriers and product carriers and VLCCs, if these are markets that we want to – our clients want us to participate but I doubt you will sit and you never know perhaps if there are companies a little bit of doubt that will end up having 10 VLCCs in our portfolio, I think we have a very large amount increase of 10 vessels of we have a dozen of Suezmax, a dozen of Aframax and we are going to be almost up to 25, two dozens of Aframaxes by the end of our new building program. So I think up to six VLCCs it is the right time and the right quality of ships is something whether to we are saying but we are not focusing on the size, we have a different follow up philosophy everybody has its own philosophy we are not excluding anything of that these in the energy sector and is there to make money with the good clients.
Ben Nolan: Okay, that’s helpful. And then another question as it relates to the asset acquisition side, some of your competitors have said that in their view a lot of the low hanging fruit in terms of sellers have served and work through the market and they would expect that the next incremental acquisitions to be materially higher with respect to the price of the vessels being acquired, are you seeing the same thing I mean is there you point of view that lot of the easy sellers are out of the market?
Nikolas Tsakos: I think what we, yeah that’s a very good point, what we’re seeing really is that I would say at two tier market, we started the year with a bigger relectuancy of anyone to buy vessels which – and hopefully anybody toward their vessels which I think this is positive. Right now I’m getting signals in the markets, is getting signals that some of the usual test bits are out there to start ordering ships again, we have to do something about it but and I think we have a two tier market we have ships which are ten years or I mean after the second special survey that the practice I would say stabilize then there is not a real demand and I think you have then the new, there is sales to ten year also with the and effects on five year old ships that we expect that the market will had, we’re separately this market really has not yet, has not yet with the same level like the freight market has. And this is mainly because of the pain that the similar owners or similar investors are going in the dry cargo, last container segment but does not allow them too much enthusiasm, or too much cost and go to enter in the tanker market. But if this market continues so we expect and I mean in 10 we’re ambulance chasers so if you look back in our the majority of our orders happened in the winter of 2013 and early 2014 and I think we’re in the happy situation to have the majority of the 16 new buildings signed in 2013 and 2014 at significant lower prices than what we could have done today. So and I think George pointed out on our all in breakeven slides in one of in his presentation and I think looking at what TEN needs to make out money. In many cases most of the- for some of the other companies this just covers the G&A expenses not to mentioned the all in course so I think we’re in a very positive situation because we were contrary and nobody wanted to touch tankers we were there very aggressively and thanks to the help of I have to say our shareholders and our banks.
Ben Nolan: Okay, that’s helpful. And then lastly for me if you, mentioned 33.5,000 that was a charter rate for the Suezmax, can you give me some context on what the, the product tanker charter rates, the levels were and then also which two vessels were sold just from oiling purposes?
A – Nikolas Tsakos: Yes, so the sold vessels is two build so our 13 year old Suezmax called the [indiscernible] and then Delphi which is a 11 years old and what as we discussed earlier on the four product carriers its basically with the minimum of about I would say $17,000 and then a profit share based on the market.
Ben Nolan: Okay, perfect. That’s it from me. Thanks. And nice quarter guys.
A – Nikolas Tsakos: Thank you.
Operator: Your next question comes from the line of Magnus Fyhr from GMP Securities. Please ask your question.
Magnus Fyhr: Yes, hi guys just couple of questions first on acquisition opportunities in the past you’ve stated that you’re going to refrain from speculative new building and I guess we had expect maybe to get some more similar contracts like the started ones you had last year, are there any similar, longer term contracts against that you can do against new buildings or is that market not there anymore?
A – Nikolas Tsakos: All right. Thank you. Well please do not mention the new building word, it’s for in the [indiscernible] is consider to be a bund, it’s a then word so we never use then word if so for us this our right word we don’t use it if you so I took George over a lot of time to call them pre-ordered resale’s, which means that those ships somebody else ordered for – and that would be going in the market anyway. So, yes, I think there is a lot of business today for people that would like to believe of, I think the operational caliber of them, that would like to build ships for long term charters in the Suezmaxe, in the VLCC segment.
Magnus Fyhr: Okay. And I mean are there any - is there anything imminent there or you guys having discussions to build against long-term contracts?
Nikolas Tsakos : Well, we just -- I think of course, last announcement we made was a major, we did five year contraction, the LR1s, LR1s, again those were vessels against those type of contracts, and we are looking at similar businesses for Aframaxes.
Magnus Fyhr: Okay. And just moving over to the LNG market, can you give us an update on the vessels that's being delivered next year, I mean what's the delivery date on that now? Have you done anything trying to push that back, and what's contract discussions there?
Nikolas Tsakos : I knew somebody would like to spoil our mood for a good day by talking to LNG, but since it’s you. Well, I mean we are -- as I said, we are in the fortunate position to [indiscernible] employed until the beginning of the second quarter of next year. And that's when we hope that the market is going to be in a better state. And it seems that the delivery of our next vessel will be in the third quarter of 2016, the Maria Energy.
Magnus Fyhr: Okay.
Nikolas Tsakos : We believe that by that time, of course the market will be significantly better than it is today. On the other hand of course the worse, the gas market is better -- our business is the tanker market, it is because people are buying much more crude and products, and not so much gas.
Magnus Fyhr: Okay. And do you stop -- you mentioned in the past that LNG market is an area where you may expand at going forward. Will you do anything there until you have contracts for those two vessels, existing vessels or how do you see that?
Nikolas Tsakos : Well, I think we are using these , I would say, period of that market to continue our internal management cooperation with Hyundai, which is, we have a joint venture in the running LNGs together. And of course through their expertise and our expertise, as we have with Columbia Ship Management, we would be looking at opportunities. On the investment side, I think we will be first chartering out the existing vessels before we go. But I think we look at it as a time, but we are paid to learn, which is a good situation to be.
Magnus Fyhr: All right, great. Well just one more last question maybe for Paul, I didn't see any guidance for third quarter. Can you provide some guidance on the percentage that you've booked for Suezmaxe and Aframax in that, what the approximate rate? Thank you.
Paul Durham: Yes, as rule, we don’t give general guidance. That’s what you are --
Magnus Fyhr: Well, I mean. just kind of what you have booked for the quarter?
Paul Durham: For the quarter?
Takis Arapoglou: I mean the first month, the first month of -- July has been very strong. So I mean you should expect the same that we have seen for the average of the second quarter, and as Mr. Tsakos, said, despite the softening in the VLCC, the rest of the softening that we have seen still make for a very exciting and very good third quarter going forward.
Nikolas Tsakos : I don’t believe that. I believe that the third quarter will be similar to the second quarter from…
Magnus Fyhr: Okay, great. Thank you, guys.
Nikolas Tsakos : This is the least enthusiastic quarter, as you know.
Magnus Fyhr: Right, fair enough. Thank you.
Nikolas Tsakos : Thank you.
Operator: Your next question comes from the line Charles Rupinski from Seaport. Please ask your question.
Q – Charles Rupinski: Hi, thank you and congratulations on the quarter. You did a very - appreciate all the color on the industry, and I just want to get your view on something that one of your peers had mentioned during their earnings season and that is poor congestion.. We’ve heard a lot that potentially there’s none of onshore storage and that there is sort of still defective storage due to congestion. And I'm just wondering if you are seeing any of that and if that could be a growing theme over the next few quarters?
Nikolas Tsakos : Yes, I mean, again this is a good point, of a way to take tonnage out of the market. The sharper the drop of oil is the more we are seeing the chances of people hoping in the future of Contango, so we are seeing six being out there. And of course then you have to balance this with the above 20 vessels or 19 to 20 vessels. In last count that we had storing Iranian crude, and some of those vessels are starting to trade daily sailing with, I would say, the Iranian allies, like, India, and China, and Korea. So I think there will be a balance between the ships that will -- the ships that will come in the market and the ones. So I think we are going to be in a stable position with storage.
Q – Charles Rupinski: Okay. Well, thank you for the time.
Nikolas Tsakos : Thank you.
Operator: Your next question comes from the line of Mark Suarez from Euro Pacific Capital. Please ask your question.
Mark Suarez: Yes, gentlemen, good morning. And thanks for taking my questions here.
Nikolas Tsakos : Thank you.
Mark Suarez: Nick, you mentioned that you were talking about the two-tier market, the second hand resource. I'm wondering what your view is on the second-hand right now, for those VLCCs or Suezmaxes that will potentially come up for sale at some point, if at all? And how will you compare that to the resale market, I mean, what -- do you have preference between one and the other? I would presume that second hand acquisitions be more attractive to take advantage of the market right now?
Nikolas Tsakos : Yes, I mean we -- bought the Suez,, I mean for us quality is very important, because acquisitions make headlines for couple of announcements and the -- but then you have to live with those acquisitions for the rest of your life. It’s like taking a wife, the wedding announcement is the only fun. So I think you have to be very, very careful. For us, quality is very important when we do recent –the reason, we look at resales, and recent resells, don’t forget about first VLCCs is going to be delivered hopefully February, March 2016. So that’s quite recent for a resale, but still it gives us time for our team to actually implement the standards -- the TEN standards on the vessels. And the Suezmaxe that we are purchasing, I think we were impressed by – they are Samson built, who's products is one of the top tier-yards. And I think they were ordered and built at the base of the tanker market. So they have all the or little more of the, and I would say extras that we would like to look. So it will give us a chance to take advantage over the fourth quarter, because they come in the third and fourth quarter for delivery.
Mark Suarez: Right, but on the resale market, are you seeing –you continue to see opportunities to go after maybe attractive transactions here, I mean I’m seeing how pricing has not really reflected the current freight environment at least when we saw the oil price collapse, I’m wondering if you continue to see maybe some distressed resale opportunities specifically on the VLCCs and Suezmaxe side?
Nikolas Tsakos : We’re monitoring, yes, we are monitoring and we are in discussions looking at the fleets with resale's, and they come mainly from owners that have a mix bag of fleet and they are suffering on the dry cargo side, and they are looking to take advantage of the better values of the tanker market.
Mark Suarez: Got you, and you mentioned that Suezmaxes, I know they're going to be delivered, I think, Paul you said, at the end of third quarter and then the other one will be more or less in the beginning of the fourth quarter. What are you thinking in terms of employment here, are you thinking medium term, long-term, what sort of terms are you thinking about maybe if you give us some details as to what you’re thinking about in terms of drawing these two vessels here?
Nikolas Tsakos : Well right now there’s a big appetite as I said, there are offers which we’re currently discussing for those ships for 30, 40 years with a very accretive minimum rate and a profit share. But I think we will, most probably we keep them in the spot market for a good period, where we expect to have a very good capacity, and then perhaps charter one of it out long term and the other medium-term.
Mark Suarez: Okay, that makes sense. And then finally on the DP2 Shuttle, I know you have an option there, I'm wondering what you're thinking about in terms of the DP2 market, the shuttle market I mean, and whether the exercising of the option is viable opportunity right now, for you guys?
George Saroglou: Yes, I think I mean this side of the business, I would say which has to do with servicing the exploration side of the business, has been quieter, but we expect that this is a viable opportunity, and this is a segment that we are determined to grow and we are monitoring the situation, we are in discussion with [indiscernible] and we are expecting the time that we will be able to make that order a reality.
Mark Suarez: Got it. Okay, that makes sense. Thanks for your time, as always.
George Saroglou: Thank you.
Operator: Your next question comes from the line of Fotis Giannakoulis from Morgan Stanley. Please proceed.
Fotis Giannakoulis: Thank you, guys. Thank you for the opportunity. I would like to ask about Iran, how much impact do you expect to have on the trade, what is your expectation of the volume that is going to bring, we see reports between 600 and 700 additional exports, and also if you can comment, how many of the vessels that are idle right now in store as in Iran, they will be used in the market by other shuttle or whether these vessels will be used at all or they will stay for storage?
Nikolas Tsakos: Thank you, Fotis. Well, yes, we are monitoring like so our colleagues Iran very carefully, because it used to be one of the top exporters. Right now we see that according to what Iran is saying that they can be by in the next three months be able to increase their output by 0.5 million barrels a day and before the end of the year, increase it by 1 million barrels a day, which I think that will be a very significant increase of supply in the market. And of course we welcome this. As part of the vessels, I think there are about 20 to 19 vessels, that are storing their production. However, out of those ships what we are monitoring is that perhaps half of them are really storage vessels, the other half are vessels that have been trading with Iranian allies, anyway. So those ships, someone would have brought that oil, and that's why I think those 19 vessels really are not going to down into the market as much as people expect because a big part of it was taking Iranian oil across China, was taking Iranian oil to India, was taking Iranian oil to Korea, so I guess there were actually moving out of the 20 vessels half are still moving the oil.
Fotis Giannakoulis: How many vessels you are seeing that will require for this 1 million barrels, is it safe to say around 30, 35 VLCC are needed by Iran in total?
Nikolas Tsakos: I think you will need approximately 1 VLCC, additional VLCC every two days. So I think on a monthly basis, very similar to the number you mentioned.
Fotis Giannakoulis: So practically, if the 1 million barrel is correct, half of it will have to be served by market vessels, non-Iranain vessels, is that correct?
Nikolas Tsakos: Exactly.
Fotis Giannakoulis: And I want to ask you also about the discussion about Contango, we know that there are very few vessels right now, except of the Iranian vessels that they are sitting idle for storage, but if you can comment, how the Contango is impacting the trading pattern of the oil, and if you see volume of oil moving to multiple directions before it reaches the final consumption, and I mean, pretty much, the trader saying they are fearing into these market until the oil is consumed?
Nikolas Tsakos: We were seeing at the beginning of the year, at the end – the period between the end of December and the first half of January, the Contango really playing a role with the difference between spot prices and six months forward or one-year forward above let's say the $10 mark, the difference, the price difference. And we had a lot of – we had some fixtures that were done on larger vessels, especially VLCC with storage options in addition to normal trading options. That thing has come down as we were going closer, as basically the mark – the price of oil rebounded after the end of January. Now with more oil heating the market, in the next few months as a result of maybe the additional Iranian oil that will come online, most probably, we're going to see this Contango coming back again, and it could play a role going forward.
Fotis Giannakoulis: So, my question also has to do if you can elaborate a little bit on the land based storage, if you see in the trade of your vessels, oil being moved to land based storage and then from land based storage to some other destination that potentially creates additional turmoil, if you can give us an idea of how much this activity might have increased?
Nikolas Tsakos: I would say there has been an increased activity, when the oil is discharged, we lose track of it when we arrive, but we have been noticing that we actually load, which actually makes it more efficient for our initialization, for many times we are loading from the same terminal where we are loading, this is exactly the same cargo, not something we're not sure, but I think you are correct, we are seeing more and more of the margins as you know right now are very, very strong, for the refineries. Then we sell out them to trade the same product.
Fotis Giannakoulis: Thank you very much Nick, thank you George, and congratulations for the great quarter.
Nikolas Tsakos: Thank you. All the best for the summer.
Operator: Your next question comes from the line of Donald Bogden from Wells Fargo. Please ask your question.
Donald Bogden: Sorry for repeating this, I asked you a little bit earlier, just had one last question on the cost of debt. So we're seeing the cost of debt move lower as cash flow pushes higher. Is this affecting your view on leveraged targets, I mean, your bank counter flows and that 45% to 50% net debt to capital range last couple of quarters. But as financing becomes cheaper, is it changing your view on what the appropriate leverage for an acquisition is?
Nikolas Tsakos: Yes, I think this is a very good point. We have - has an internal I would say, as an internal policy but we never want to exceed the 70% on any acquisition because we believe that this is what has kept Ten out of any trouble, and has fuelled our growth during the difficult times. If you look at the presentation, I think in George's presentation or Paul’s presentation, you will see that even in the most difficult times we never exceeded 60% of debt to equity. So I think this allows us to - from 46% to 70% gives us a significant capacity to grow with very cheap debt. Paul?
Paul Durham: Obviously there is over writing overrule [deliveries] [ph] from the sales cost is a fact that we do have a lot of bank debt and there are covenants associated with that debt. So we have a very obvious limit as to how much we can borrow, and it's a shame when that is so cheap that we can't go to the maximum levels. If we were private company, we would not be concerned exceeding 70% and going up 90%, but with these kind of restraints and being a public company, yes, we have to keep it leverage very much under control. I think we're in a very comfortable situation at the moment.
Donald Bogden: All right, well thanks for taking my follow-up guys. Have a good day.
Operator: There are currently no further questions. Please continue.
Nikolas Tsakos: Well, thank you very much. We would like again to take this opportunity to wish everybody a very restful and peaceful August. We're going to be actually making sure that we'll be working during that period, coming up with good results for the next quarter. Thank you for your support. And we are looking forward to report better or as good - for the next quarter, and we believe that we are entering a period of prolonged positive market for our industry. And we hope very soon to be able to see this in our surprise. We still believe it is not like the values - or vessels do not portray the rise in capacity, our share price does not portray right now the performance of the company. And with this view in mind, thank you very much and enjoy your summer. Thank you.
Operator: That does conclude the conference for today. Thank you for participating. You may all disconnect.